Operator: Good day everyone and welcome to the Guess? Fourth Quarter Fiscal 2015 Earnings Conference Call. On the call are Paul Marciano, Chief Executive Officer; Michael Relich, Chief Operating Officer; and Sandeep Reddy, Chief Financial Officer. During today's call, the company will be making forward-looking statements, including comments regarding future plans and financial outlook. The company's actual results may differ materially from current expectations based on risk factors included in the company's quarterly and annual reports filed with the SEC. Now I would like to turn the call over to Paul Marciano.
Paul Marciano - Vice Chairman & Chief Executive Officer: Thank you. Good afternoon and thank you for joining us today. We reported fourth quarter results and posted earning per share of $0.63, which was at the high-end of our guidance. Operating performance was in line with expectation. In North America when we last spoke to you in early December, we had a tough start for the fourth quarter retail operation with comps down in the high-single-digit at the time. Business improved, and we closed our fourth quarter with comps down 3% in constant currency and down 5% in U.S. dollar, which exceeded our expectation. Business trend improved gradually as we went through the quarter. In December traffic and comp improved from down low-single-digit to up low-single-digit in January. So far in the first quarter our comp are down in low-single-digit in constant currency. We are pleased with this trend considering the disruption from the West Coast port issue and the extreme weather we have been experiencing since February in all the East Coast and Canada. E-comm, which was the number one focus, delivered another quarter of strong performance, and grew sales by 37%. This rounded out the year in which we increased sales in that channel by 42% and continued to be the omni-channel retail strategy that connect our online platform with in-store, mobile, and social experience. In term of products we are very pleased with the performance of our Marciano Collection in the standalone store, inside Guess? stores, as well as online. Customers are responding to the unique offering of this brand, and we finished the quarter with comp up in double-digit. Other category where we saw improving trend during the quarter were women's handbag and women footwear, which comped positively, driven by strong new product introduction. In our women apparel business we were pleased with the strong performance of outerwear, where we invested heavily and delivered positive comps. However that was more than offset by softness in woven and knit tops and basic denim. So far in Q1 this year we have seen definite improvement in trend in denim, woven, and dresses. And we're starting to see more result of the design change we made. In Europe in the past quarter has been marked by significant challenge of the foreign exchange rate with dramatic fall of the euro against dollar and the Swiss franc. But even with that I'm encouraged with our performance in Italy and Iberia, as we were able to maintain almost flat revenue in these two keys market during the quarter when compared to last year. However, France, Russia, and Eastern Europe all experienced sales decline in the quarter, pressured by weakened consumer confidence and microeconomic condition. In Asia our business finished below expectation for the quarter. South Korean economy remain soft in consumer demand, and we have to be a lot more promotional than we planned. Due to the fact as part of the strategy, we are phasing out of the G by GUESS business in Korea after almost four years to concentrate on the Guess? asset only. Moving to our guidance for the fiscal year, we are quite pleased at the relative underlying performance in North America and Europe. The combination of improvement in the product offering and the healthier inventory position and lower input cost is expect to result in a better operating margin across the business, excluding the impact of foreign exchange headwinds. We are expecting to be significantly impacted by foreign exchange due to the strength of the dollar. Mike will provide more detail on the guidance later in the call. Our strategic initiative going forward will be in these four priorities. Growth of omni-channel. This past year we saw strong growth for e-comm in North America in excess of 40%, while we also expanded our European e-commerce business at the similar rate, but with a smaller base. We have made significant investment in this channel in the past several years, and we continue to do so. We expect to see double-digit growth in fiscal year 2016 across all regions of the world. The second priority will be to leverage Marciano in Guess? stores. We are continuing to integrate Marciano products in our Guess? stores in North America and are projecting to almost double the number of stores where this will be the case by the end of this fiscal year. The third priority will be the store realignment. While we continue to protect and invest in flagship locations, we will keep on closing stores in North America that are either unprofitable or no longer in brand appropriate location or both. We're taking the same approach in Europe and Asia on a smaller scale. Finally, as I said in the last call, a key focus of mine is to improve the company profitability and as a center point of that plan is to evaluate that across the different businesses in our global portfolio, reducing the size and cost structure of less profitable ones, while directing capital investment to the ones with more profit potential to maintain our strong balance sheet. In conclusion, I'm very confident in the positive sign I see in our business. Our product line for the year is very strong and I really believe we are staying true to what Guess? brands stand for in delivering the high quality and unique experience that the customer has to come and expect from us. With that, I will pass now to Sandeep to discuss our financials.
Sandeep Reddy - Chief Financial Officer: Thank you, Paul, and good afternoon. During this conference call, all our comments for the fourth quarter and full year are on an adjusted basis which excludes the impact of certain restructuring charges in the respective prior year period. You can find more details of the prior year charges and a full GAAP reconciliation to these and other non-GAAP measures in today's earnings release. Moving on to the results, net earnings for the fourth quarter was $54 million and diluted earnings per share was $0.63 compared to $0.83 adjusted diluted earnings per share in last year's fourth quarter. Fourth quarter revenues were $697 million, 9% lower than the prior year and down 4% in constant currency. Total company gross profit for the fourth quarter was $261 million, down 14%, and gross margin declined 190 basis points to 37.4%, due primarily to negative comparable stores sales and more markdowns. SG&A dollars decreased 5% versus the prior year to $188 million. The decrease in SG&A was primarily due to the favorable impact of foreign currency, lower incentive compensation, and lower selling and merchandising expenses, offset by higher non-cash asset impairment charges related to the underperforming retail stores in North America, Europe, and Asia. Operating earnings for the fourth quarter was $73 million. Our operating margin declined 310 basis points to 10.5%. Other net income was $7 million, and mostly consisted of net unrealized and realized gains on foreign currency contracts. Our effective fourth quarter tax rate was 30.5%, in line with our expectation and down from 31.4% in the prior year's fourth quarter due to a shift in earnings distributions between different taxable jurisdictions within the quarters. Moving to segment performance, in North America Retail, fourth quarter revenues dropped 4% to $317 million including the unfavorable impact of the weaker Canadian dollar. Negative comps in brick-and-mortar stores were partially offset by 37% growth in our e-commerce business. Overall, comp store sales including e-commerce declined 5% in the U.S. and Canada and 3% in constant currency. E-commerce sales improved the overall comps by three percentage points. Operating earnings decreased 64% to $10 million and operating margin declined 520 basis points to 3.1%. Compared to last year's quarter, gross margins were lower due to more markdowns and occupancy deleverage. The SG&A rate deteriorated due to deleverage and higher impairment charges. During the quarter, we closed 13 stores and opened 2, ending the period with 481 stores. In Europe, fourth quarter revenues were $241 million, a decline of 16% in U.S. dollars and 5% in constant currency. The constant currency revenue decline was driven by lower wholesale shipments, partly due to timing, as well as negative low-single-digit comp sales in our retail stores. Operating earnings decreased by 18% on $9 million to $41 million. Operating margin decreased by 40 basis points to 16.9% driven by deleverage and higher asset impairment charges. In Asia, revenues in the fourth quarter declined 9% to $75 million and declined 7% in constant currency, mainly driven by negative comps. Operating earnings fell 96% to $0.3 million and operating margin dropped 890 basis points to 0.4%. The decline in operating margin was primarily driven by promotional pressure as well as an inventory charge related to the exit of the G by GUESS business on gross margins in South Korea. In addition, the SG&A rate was higher, due primarily due to deleverage. In North America Wholesale, fourth quarter revenues were down 10% compared to the prior year at $37 million, impacted by the timing shift to sales into the third quarter as we mentioned on our last call. Operating profit decreased by 23% to $7 million and operating margin decreased 340 basis points to 20%, primarily due to sales deleverage. Royalties generated from sales to our licensee partners were down 6% at $27 million. To summarize, for the full fiscal year, consolidated revenues were down 6% at $2.4 billion and down 5% in constant currency. The decline in sales reflects lower European wholesale shipments, negative comparable store sales in North America and Europe, and the unfavorable translation impacts of the stronger U.S. dollar. Operating earnings were $126 million, down 46% from prior year's adjusted operating earnings of $235 million. Overall, our operating margin of 5.2% was down 390 basis points from last year's adjusted operating margin, driven by the impact of negative comp store sales on our fixed cost structure, higher markdowns, lower wholesale mix, and higher asset impairment charges, partially offset by sourcing-related IMU improvements. For the fiscal year, earnings per share was $1.11, a 42% decrease from prior-year's adjusted earnings per share of $1.91. Moving on to the balance sheet, accounts receivable in U.S. dollars was 22% lower than last year at $216 million and was impacted by the strengthening of the U.S. dollar compared to the euro. In constant currency, accounts receivable was down 10%. Inventories were down 9% versus last year at $319 million. In constant currency, inventor is down 1%. We ended the quarter with cash and short-term investments of $483 million compared to last year's $508 million. Free cash flow for the fiscal year was $82 million, driven by changes in working capital and lower earnings with CapEx spend slightly below last year. Our board of directors has approved a quarterly cash dividend of $0.225 per share on the company's common stock. The dividend will be payable on April 17, 2015 to shareholders of record at the close of business on April 1, 2015. With that, I will pass the call over to Mike, who will take you through the outlook for the first quarter and full fiscal year 2016.
Michael Relich - Chief Operating Officer: Thank you, Sandeep, and good afternoon. As Paul mentioned earlier, we expect currencies to be a significant headwind for the fiscal year 2016. Excluding the impact of currency, we expect a modest top line increase, mainly driven by e-commerce growth globally and the impact of store openings in Europe. We plan to manage our inventory tightly and execute targeted price adjustments where appropriate in order to offset some of the foreign exchange headwinds on gross margin. Excluding currency impacts, the top-end of our guidance reflects 30% EPS growth and operating margin expansion of 180 basis points. Currencies impacted our results in two ways. First is the translation of our foreign entity results. Second, the impact on transactions denominated in the currency other than the local ones; for example, the inventory purchases made by Europe in U.S. dollars. Overall, our outlook for fiscal 2016 assumes currencies will be a headwind on top line growth, gross margin, operating margin, and EPS. We estimate that currency headwinds will really start to build in the second quarter and impact the full-year EPS by roughly $0.50, over 80% of that amount being driven by impact on the transactional side. In order to give better visibility to the underlying trends in our outlook, we will also provide constant currency metrics when applicable. In North America Retail, our strategy for fiscal 2016 remains very consistent with fiscal 2015. We are focusing on optimizing our retail store portfolio and executing on our omni-channel strategy. We will stay very opportunistic with our store openings, and plan to open roughly 10 stores in the U.S. and Canada during the year, primarily in the Factory concept. We plan to close 50 to 60 underperforming stores in the U.S. and Canada through lease expirations and kick-outs. As a reminder, roughly half of our leases have lease exit options coming up over the next three years. So far in the first quarter, comp store sales have been down in low-single-digits in constant currency, and we also expect first quarter comp sales and revenues to be down in the low-single-digits in constant currency. In U.S. dollars, we plan for comp sales to be down in the low- to mid-single-digits and for revenues to be down in the low-single-digits. Looking forward, we believe that the improvement in our product offerings will positively impact trends in the back half of the year. For the full year, we plan for the comps and revenues to be down in the low-single-digits to up in the low-single-digits in constant currency, but to be down in the low-single-digits in U.S. dollars. In Europe we will be focusing on growing our e-commerce business, optimizing our store portfolio by limiting our store openings, and exiting doors where appropriate. Overall this is a very similar strategy to North America. So far in the first quarter retail comps in Europe are roughly flat, and we are planning for comps to be down in the low-single-digits for the first quarter as we come up on tougher compares towards the end of the quarter. We expect comps to improve as we progress throughout the year, and we'll be up against easier compares in the back half of the year. For the full year we expect comp sales to range from a decline in the low-single-digits to an increase in the low-single-digits. In Europe Wholesale we are planning the orders for our fall/winter collection to be down in the high-single-digits, mainly driven by softness in Russia, France, and Eastern Europe. Our expectations for the back half of the year does not include any material improvement in our wholesale business in Europe. Considering these factors, as well as some timing in the wholesale shipment, we expect Europe revenues for the first quarter to increase in the high-single-digits in constant currency, to decline in the mid-teens in U.S. dollars. For the full year we expect revenues to increase in the low-single-digits in constant currency and to decline in the mid- to high-teens in U.S. dollars. At prevailing exchange rates we estimate that the impact of currency headwinds on Europe revenue growth will be approximately 23 percentage points for the first quarter and 19 percentage points for the year. Now turning to Asia. The overall environment remains soft in South Korea where comps have been negative so far in the first quarter. We are assuming that the environment will remain soft in our guidance. For the first quarter we expect Asia revenues to decline in the low- to mid-single-digits in constant currency and to decline in the low- to high-single-digits in U.S. dollars. For the full year we expect Asia revenues to decline in the low- to mid-single-digits in constant currency and to decline in the mid- to high-single-digits in U.S. dollars. In our North America Wholesale business we expect first quarter revenues to be down in the low-single-digits in constant currency and to be down in the high-single-digits in U.S. dollars. For the full year we plan for revenues to be flat to up in the low-single-digits in constant currency and to be down in the low- to mid-single-digits in U.S. dollars. In our licensing business we are expecting royalties to decline in the low-single-digits for the first quarter and the full year. For the first quarter we expect overall gross margins to be slightly up, driven by higher IMU. For the full year we expect gross margins to be slightly down to slightly up, driven by tighter inventory management, targeted price increases, and lower average costs offset by currency headwinds. With respect to operating expenses we expect a slightly higher SG&A rate for the first quarter. For the full year we expect the SG&A rate to be slightly down to slightly up. We are planning the full year with a 33% tax rate and our guidance assumes foreign currencies remain roughly at prevailing rates. Considering all these factors, for the first quarter of fiscal 2016 we expect consolidated revenues to grow between 1% and 2% in constant currency. At prevailing exchange rates we estimate that the impact of currency headwinds on consolidated revenue growth will be approximately 9 percentage points for the first quarter. We are planning an operating margin between minus 1.5% and minus 1%, including the impact of currency headwinds of roughly 50 basis points. Loss per share is planned in the range of $0.06 per share and $0.03 per share. For the full year we expect consolidated revenues to be down in the 1% to up 1% in constant currency. At prevailing exchange rates we estimate that the impact of currency headwinds on consolidated revenue growth will be approximately 8 percentage points for the full year. We are planning an operating margin between 4.5% and 5.5%, including the impact of currency headwinds of roughly 150 basis points. Earnings per share is planned in the range of $0.75 per share and $0.95 per share. Earnings per share guidance includes a currency headwind of roughly $0.50 per share. For the full year we plan to manage our CapEx carefully and opportunistically by investing between $60 million and $70 million in capital expenditures, net of tenant allowances. With that I will conclude the company's remarks and open the call for your questions.
Operator: Thank you. We will now begin the question-and-answer session. And our first question is going to come from Erinn Murphy from Piper Jaffray. Please go ahead with your question or comment.
Erinn E. Murphy - Piper Jaffray & Co (Broker): Great. Thank you. Good afternoon. A couple of questions from me, just first on North America. The profitability was a little bit worse than we had thought, down over 500 basis points. Can you just help us think about how we should see this trending in 2015? I realize you're closing some of the doors in North America. So are you anticipating that to improve? And then how are you seeing the current promotional environment thus far in the first quarter in North America?
Sandeep Reddy - Chief Financial Officer: Hi, Erinn. This is Sandeep.
Erinn E. Murphy - Piper Jaffray & Co (Broker): Hi, Sandeep.
Sandeep Reddy - Chief Financial Officer: Hey. So I think coming back to your question on North America profitability, we've seen of course a pretty significant decline in profitability this past year. But I think you've got to keep in mind a couple of major factors that has actually impacted our profitability. The number one factor, frankly, was a tremendous amount of markdown that we had to take because of the excess inventory we were carrying because we planned for the national campaign in the back half of the year, which unfortunately didn't materialize to the extent that we were hoping for. And we made it a priority to clear through the inventory before the end of the year and that was a big headwind on product margins in the year. In addition, when you have a situation where sales are just not holding up to what the expectations are, you're going to have asset impairment charges. And we had pretty significant asset impairment charges during the current fiscal year. So these are the two major factors I think that have driven profitability. The store closures will help over time but it's not a major driver. And I think what is really encouraging, though, is if we actually switch into Q1, we are already seeing some of the benefits of a less promotional environment. And we are seeing improvements in product margin already in the few weeks that we've actually been into the first quarter. So we're encouraged by what we see.
Erinn E. Murphy - Piper Jaffray & Co (Broker): Okay, that's helpful. And then from a licensing perspective, the revenue was down about 5%, I believe, in the fourth quarter. Can you just talk about the major trends you're seeing right now with your three big accessory categories that are included in that, so handbags, watches, and footwear?
Paul Marciano - Vice Chairman & Chief Executive Officer: Yes, this is Paul. Handbags definitely we see – we have seen already on the Q4 a good improvement, but not on the Q1 of this year. It continues on that direction. The shoes, for example, I give you just a – on the Q4, let me – footwear right here, we were like minus 4% on Q4 and now we're plus 8% quarter to-date now. So definitely we see a big shift. Watches remain soft for us.
Erinn E. Murphy - Piper Jaffray & Co (Broker): Okay, that's helpful. And then in terms of some of your major licenses, can you just walk through when you anticipate – I believe your footwear license with Marc Fisher is coming due at the end of this year, and then I believe your watch license may come due in about a year, year and a half. Can you just walk through how you're thinking about some of these upcoming license negotiations? Thank you.
Paul Marciano - Vice Chairman & Chief Executive Officer: A few things. First of all, if you look at the history of our license deals, at least there have been decade and sometimes two decades and three decades with us, for example, the watches is 30 years, the handbags 23 years, and the footwear 10 years, but the license is not up for footwear. It's still going another five years, so that's 15 years at like now (26:02). So we don't have anything major coming up, except the handbag, which will be in two years from now, but it's nothing in house.
Erinn E. Murphy - Piper Jaffray & Co (Broker): Thank you.
Paul Marciano - Vice Chairman & Chief Executive Officer: Yeah. Thank you.
Operator: Our next question is going to come from Janet Kloppenburg from JJK Research. Please go ahead with your question or comment.
Janet J. Kloppenburg - JJK Research: Good afternoon, everyone. I was wondering if you could talk about the fundamentals in the Asian market, so China, Korea, Japan. Profitability has been deteriorating there for some time now and I was just wondering if you could talk about some of the strategic initiatives you have in place that might help to restore that. And if you could talk a little bit about where the categories of strength and weaknesses are and what the trends look like in the first quarter to-date? Thank you.
Michael Relich - Chief Operating Officer: Absolutely. Hi, Janet, it's Mike.
Janet J. Kloppenburg - JJK Research: Hi.
Michael Relich - Chief Operating Officer: And so in Asia, Korea accounts for two-thirds of our volumes there.
Janet J. Kloppenburg - JJK Research: Right.
Michael Relich - Chief Operating Officer: And G by GUESS, we launched that four years ago, and that's given us enough time to really assess whether the concept was viable and how it fit in with strategically. And we've taken the decision to exit it because it's – really and focused all our resources on Guess?, because Guess? is a much more profitable business. And the results of this decision will be margin accretive. And so really the key to getting (27:29) going is to concentrate and get Korea improving. China – if you look at China, China remains to be a soft consumer environment. Our comps have been choppy in Q1, and they're down in double-digits, mid-teens in Q4. But what we're experiencing I think every other retailer is experiencing. There's low consumer demand there. And the economy is getting softer. But moving back to Korea, right now we're taking all our efforts and we're focusing on the product, and we plan to be less promotional.
Janet J. Kloppenburg - JJK Research: Mike, could you say that the operating margins for the Guess? business improved and it was just a drag from G by GUESS? Or was the pressure on the Guess? division margins as well?
Michael Relich - Chief Operating Officer: The Guess? division performed much better than G by GUESS. So exiting G by GUESS will be margin accretive.
Janet J. Kloppenburg - JJK Research: Okay, okay. And in the first quarter to-date are you seeing improving trends in this market as you are in North America?
Michael Relich - Chief Operating Officer: The trends are still choppy. I mean there's a slight improvement from Q4. We're seeing strength around denim and tees. But still remains a bit choppy.
Janet J. Kloppenburg - JJK Research: Okay. And just my last question, quickly, overall, for Europe and North America, are we to interpret the guidance for the first quarter to mean that the markdown levels should be down year-over-year Q1 2014 versus Q1 2015?
Sandeep Reddy - Chief Financial Officer: Hi, Janet. It's Sandeep.
Janet J. Kloppenburg - JJK Research: Hi, Sandeep.
Sandeep Reddy - Chief Financial Officer: Hey. So, yes, you're correct. The markdown levels are expected to be less Q1 across the board, across all regions.
Janet J. Kloppenburg - JJK Research: Thank you.
Operator: Our next question is going to come from Betty Chen from Mizuho Securities. Please go ahead with your question or comment.
Alex Pham - Mizuho Securities USA, Inc.: Hi. It's actually Alex Pham on for Betty. I was just wondering on the announced store closures, wondering if you guys could give us any metrics around what the planned store closures are doing maybe versus with the rest of the chain and then given the strong trend in e-comm, just wondering if you guys had any updated thoughts on the overall footprint. Thanks.
Sandeep Reddy - Chief Financial Officer: Okay. So I'm going to just take your question on store closures, and then I'll pass it over to Mike to talk a little bit more about e-commerce after that. But I think on the store closures, we basically look at each and every store based on the economic viability of the store and the profitability. And that's what we've been doing over the last 18 months specifically, as we called out in the back half of last year. We've identified that a really – we had about 50 stores that we were planning to close in 18 months, starting the back half of last year. Through the back half of last year we actually closed 17 stores, and then as we came into this year we identified a further number of stores that we were going to be closing and we expanded our program to 50 to 60 door closures for this fiscal year. And so compared to what we told you in the back half of last year, the number of door closures has slightly expanded. But it was what we told you all along because we said we have half our portfolio coming up for renewal and we were going to actually take a look at it over the next – over the three-year timeframe accordingly. And so as we actually do go through with the store closures, there is an impact clearly on e-commerce and e-commerce's share of the business. And I'll let Mike talk to us about that.
Michael Relich - Chief Operating Officer: Yeah, we're very pleased with our e-commerce growth in Q4. It was up 37%. And we're seeing these trends continue into Q1. Specifically, we're very pleased because Q4 is a very, very large quarter. But we're still underpenetrated specifically in Canada and also in the Factory and the Marciano websites. So keep in mind, we are going to anniversary a number of these omni-channel initiatives that we put in last year but we have new initiatives that we think we're going to drive traffic and growth. Last year, one of the key components that drove growth was our shift from store program in the United States. We're currently rolling that out in Canada and we expect that to contribute to growth and to increase our penetration in that market. We also are working on some key traffic initiatives. I mean, right now, we have a loyalty database with approximately 9 million consumers in there. And we've – it's a huge, huge resource and we've got a lot of data on purchasing behaviors, on demographics, psychographics, et cetera. And we're working with that data with some analytics vendors to segment the customers and provide appropriate messaging to those customers to drive traffic into our stores, onto the website, and increase conversion.
Alex Pham - Mizuho Securities USA, Inc.: Thank you.
Operator: Our next question is going to come from John Kernan from Cowen & Co. Please go ahead.
Jerry W. Gray - Cowen & Co. LLC: Hey. How's it going? This is Jerry on for John. Thank you for taking our question. I just want to ask a little follow up on the licensing business. Can you give us some visibility into the health of the stores operated by your licensing partners and the inventory in that channel? And then should we continue to expect the store count there to decline in 2016?
Paul Marciano - Vice Chairman & Chief Executive Officer: Are you talking about the licensing stores international? Because in North America, we don't have anything, the dark classics. (33:06)
Jerry W. Gray - Cowen & Co. LLC: Yes.
Paul Marciano - Vice Chairman & Chief Executive Officer: Yes. It's hard to balance on that basically even between the number of stores we opened and the number of stores we closed. So it's really a wash there, international, take the world, except North America.
Jerry W. Gray - Cowen & Co. LLC: All right. Any insight into the health of those stores and the inventory in that channel?
Sandeep Reddy - Chief Financial Officer: This is Sandeep. I'll follow up on that. I think what we have been seeing especially in Europe is the licensing stores have been under a bit of pressure with a lot of inventory, especially with the economic downturn. And that has been a big driver of what has been resulted in some store closures of our licensee partners. So we believe we have actually worked through a lot of it and that's one of the reason we've actually had those store closures.
Jerry W. Gray - Cowen & Co. LLC: Okay. And then just on your merch margin expectations for this year, what's baked into guidance as far as merch margin? And how is the cadence of the FX pressure going to affect that model?
Sandeep Reddy - Chief Financial Officer: Yeah. I think your question is a great one, because I think it really ties it into the way we planned the entire business. And I think what will really help is if I try to help you understand the guidance in total. So if you look at our guidance that we provided, we've called out that there's a $0.50 of foreign currency impact, which is a negative impact on us. And that results also in a 150 basis point negative impact on operating margin. The best way to look at our business and our guidance is normalized for currency. So if I take the currency of $0.50, I'm going to split it into two components. The first one is translation. This is translation of our foreign currency earnings into U.S. dollars. That accounts for about 20% of the $0.50. The remaining part of it is transaction, and this happens when you actually have a mismatch between the currency in which you're making your sale and the currency in which you're buying your inventory. The two biggest currencies where we have this impact is on the Canadian dollar versus the U.S. dollar and the euro versus the U.S. dollar, and the euro actually is a much bigger impact. So when you take these two currencies for the most part they drive the majority of the 150 basis point headwind from currency that we're seeing on our operating margins. The good news for us is we've been making it a huge priority to work on product margin improvement. And there are three buckets where we actually have addressed this. And in total this will more or less offset the foreign exchange impact. The first is lower markdowns across all the different regions that we're operating in. And this is something we already talked about previously on the call, accounts for about half. Then the next bucket which is also a contributor is average unit cost reduction. We've seen tailwinds right now from the commodity prices, from cotton and oil, which are beginning to roll into our average unit cost and are helping us. And last but not least we have taken targeted price increases very strategically where we can make sure that the prices are focused on products where we don't have demand risk from consumers who are very sensitive to the price. So we're taking this in totality across all these three buckets to mitigate the foreign exchange rate that we're talking about. But to answer your question, currency neutral, merch margins are up.
Operator: Thank you. Our next question is going to come from Jeff Van Sinderen from B. Riley & Co. Please go ahead with your question or comment.
Richard Magnusen - B. Riley & Co., LLC: Hello. This is Richard Magnusen in for Jeff Van Sinderen. Can you tell me what you are seeing in the fall bookings for North American Wholesale?
Sandeep Reddy - Chief Financial Officer: Yeah. So on North America Wholesale the fall bookings, we have at this point a fairly limited visibility. But I think what we do know is the Canadian business is doing slightly better of our businesses over there in the trends that we're seeing so far. But we really will have much better idea by the time we report Q1.
Richard Magnusen - B. Riley & Co., LLC: Okay. And then what are you experiencing in terms of the port slowdown? Are you seeing things move towards more normalcy?
Michael Relich - Chief Operating Officer: Yeah. So in the Q4 we really – the port slowdown didn't really impact us that much. We probably had an average delay of five days, but it wasn't material. In Q1 that actually increased to 10 days to 15 days, and it did have an impact, where we actually had to postpone our March floor sets a couple weeks because of the slowdown. Now we actually see those delays reducing and coming back to normalcy.
Richard Magnusen - B. Riley & Co., LLC: Okay. And can you touch on any regional differences in performance within the U.S.?
Michael Relich - Chief Operating Officer: Yes. Obviously the inclement weather has impacted us specifically in Q1 and specifically in our Factory concepts, where we have a lot of outdoor stores. And needless to say the stores in the cold regions in Canada and in the Northeast are definitely underperforming the chain as a whole. Our strongest regions are the Southeast and Southwest where it's warm.
Operator: Thank you. Our next question is going to come from Randy Konik from Jefferies. Please go ahead with your question or comment.
Randal J. Konik - Jefferies LLC: Great. Thanks a lot. Can you – I guess, Sandeep, can you expand upon – it sounded like more optimistic commentary around the promotional environment. And you just gave us some commentary around regional data that it sounds like in the weather areas of the United States where weather is favorable, things actually sound pretty good. So it just feels like sequentially you're more optimistic or things are feeling a lot better in the United States. And just want to like try and expand upon what's less promotional, why, et cetera? Thanks.
Sandeep Reddy - Chief Financial Officer: Yeah. I think, Randy, this is the point we've been making right through the call. And really what's happened is we've come through into Q1 in a much more healthy state from an inventory perspective, because we were really clearing through our inventories in the back half of last year, especially through Q4. And we have a little bit more left to go, but by and large because we've cleared through so much of it, we've been able to be much less promotional and to have much less markdown. And so that's what's really been a tailwind from our margin so far in the quarter. And we expect this to actually get better as we go through the year, because we're going to lap the more promotional environment in the back half. But I think from a regional perspective, I think we touched on it earlier as well, but the inclement weather has actually been certainly a handicap to us because of the Northeast specifically and Canada as well. And in those circumstances to be down in the low-single-digits in constant currency is something we're quite pleased about, and that's what Paul said in his prepared remarks. So we're feeling good. We're feeling good about what the trends are so far.
Randal J. Konik - Jefferies LLC: And then I guess if you ex out the left excess clearing of inventory, are you seeing better response rate for the product? I'm just trying to get a sense of you feel like the sell-through rates of the newer product is actually working rather than margins or promotional pressures easing because of more appropriately controlled inventories.
Michael Relich - Chief Operating Officer: No. So, this is Mike, Randy. We're seeing actually ADSs and higher AURs. So we're selling the product at a higher – definitely at a higher retail, so there's less promotional pressure. But I'd like to take one category and use that as an example, which is women's. Women's, we've had problems for the last few quarters where it's been very, very soft. In Q1, we've actually swung to be slightly positive right now, and that's considering the headwinds with the port slowdown and also inclement weather, and we're seeing increases in dresses where we've been negative in dresses last few quarters, we're comping positive there. Woven tops, we've made an investment there and we're seeing high sell-throughs. And the same thing in sweaters. And denim, while basic denim's down, we have premium denim where we've introduced some new fabrics, they're very technical fabrics, and new fit. And we're seeing very, very positive sell-throughs there. So we're really encouraged. And yeah, this is despite the headwinds. So we're seeing really good reactions to our products. And again, we're selling those at a higher AUR, and this goes back to Paul's comment in the prepared remarks that we're – our focus is to increase profitability.
Operator: Thank you. Our next question is going to come from Thomas Filandro from Susquehanna Financial Group. Please go ahead with your question or comment.
Tom A. Filandro - Susquehanna Financial Group LLLP: Hey, guys. I just want to make sure I understand. So you cleared through the bulk of the inventory overhang. So I guess my first question is when should we expect that you'll be completely cleared through that inventory overhang? And at that point, how should we think about what sort of inventory per store per square foot, particularly here in North America? And then, separately, if you could possibly give us a little more quantification around the AUC opportunity, maybe split it between the first half and the second half of the year, that would be great. Thank you.
Sandeep Reddy - Chief Financial Officer: Hey, Tom, it's Sandeep.
Tom A. Filandro - Susquehanna Financial Group LLLP: Hi, Sandeep.
Sandeep Reddy - Chief Financial Officer: So let me try the inventory piece first and I'm going to focus on North America specifically. And what's happened is we've cleared through a lot of the inventory but we still have a little bit left to clear through and we should be done with most of it by Q1. And that's already included in our guidance. And so from an inventory per square foot perspective, we're roughly in about minus 4% or so range right now for where we stood at the end of Q4. We don't expect this to actually change a whole lot as we move into Q1 because the amount of inventories that we have to clear hasn't really – isn't that material to the total amount of inventory that we carrying. So, and then I think moving on to AUCs, what we have seen from an input cost perspective is the tailwind would be coming more so towards the back half because the commodity prices really started tailing off and we were able to place buys more towards the end of the year, which will manifest into the back half of the year. So you'll see that timing play through when you look at the (43:39).
Tom A. Filandro - Susquehanna Financial Group LLLP: Thank you very much. Best of luck.
Sandeep Reddy - Chief Financial Officer: Thanks.
Operator: Thank you. Our next question is going to come from Dorothy Lakner from Topeka Capital Markets. Please go ahead with your question or comment.
Dorothy Senghas Lakner - Topeka Capital Markets: Thanks. Good afternoon, everyone. A couple of questions. One, just in terms of the loyalty database and the work that you're doing on customer segmentation, I wonder what the timing of that is and when you'll start to be able to target customers better than right now? And then secondly, just in terms of product, you've seen some nice strength I guess in premium denim. What kinds of things are you doing with the basic denim in terms of improving performance there? And then lastly on Marciano, which is seeing nice performance now, just wondering what kind of lift that's providing to stores that are getting it versus when they did not have that product? And how many more stores that's going to be going into this year? Thanks.
Michael Relich - Chief Operating Officer: Okay. In terms of loyalty database, we are working with an analytics company right now and segmenting the customer base and actually this month we'll start sending out targeted e-mails and we'll start targeting promotions to the customers to make sure that they receive more relevant messaging. But keep in mind this is an iterative process. It's not something that you just turn on and it happens. You get learnings and then you can see the refining as we go along. But we feel very optimistic with the initiatives that we have in place. Now in terms of denim, we see that our premium denim, as we said earlier in the call, is performing very well and there we're even seeing new washes, new fabrics, new fits. The basic denim is a little bit slow but what we've done there is we've actually reduced the SKU count into a more focused assortment and so that is an initiative that's in place and focusing on providing better washes and some of the fits that work. So that's something that we have to work into, but we're taking our learnings from premium denim and focusing that on the basics. Now with respect to Marciano, we plan this year to double the number of stores that the Marciano product is in, in the Guess? stores. And in the Guess? stores, what's very interesting here is the price points of Marciano are much higher than the Guess? product and we actually see a positive – in all the stores we see a very, very positive response from the customer. So when the product is right, there's no price resistance. They will buy it. And so it did in the Q4 provide a pretty significant lift. Now one of the encouraging signs we're seeing in Q1 is women's in general – and this is Guess? product, dresses, wovens, premium denim is all basically picking up quite good, so we're actually very, very encouraged by this.
Operator: Thank you. Our next question is going to come from David Glick from Buckingham Research. Please go ahead with your question or comment.
David J. Glick - The Buckingham Research Group, Inc.: Thank you. A couple of questions. Sandeep, I wanted to start on in terms of your free cash flow expectations for the year, if you can give us perhaps a range there. Obviously, we have your net income, you gave us CapEx. I wasn't sure how working capital was going to play out. And then any updates you can give us in terms of cash U.S. versus international, and then I had a couple of other questions.
Sandeep Reddy - Chief Financial Officer: Yeah. So let me start with the free cash flow and I think we talked about this throughout the past year or so about how it's a strategic priority for us to make sure we continue to drive free cash flow growth. So when you look at free cash flow for the past year, a couple of things happened I think. You really had some timing of working capital impacts that negatively impacted us in fiscal year 2015, which shouldn't be as much of an impact as we go into 2016. And also we did get squeezed a bit on the currency as we move into the end of the year. So moving into 2016 specifically, we've taken a lot of operational initiatives to actually drive down some of the cost structure that we have, which are going to be – that are going to be helping us from a free cash flow perspective, apart from which we're really tightening up on our working capital, the store closures will actually help from a working capital perspective because we won't be having to buy inventory for those stores when we get to the end of this year. And last but not least, from a CapEx perspective, we're very, very focused about only investing in projects where the return on invested capital is above our cost of capital and accretive to shareholder value. So all these things really are what we're focused on to drive that free cash flow number up. And I think you also asked about cash U.S. versus international, it's been about a third in the U.S., two-thirds international historically. It's not going to change a whole lot from that.
Operator: Thank you. We have a follow up question from Jeff Van Sinderen from B. Riley & Co. Please go ahead with your question or comment.
Richard Magnusen - B. Riley & Co., LLC: Hi. This is Richard Magnusen for Jeff Van Sinderen. I have one last question. This is regarding the potential impact of the recent litigation between Guess? and Georges Marciano regarding the use of the Georges Marciano name. In particular, Georges has requested that the court rule on the rule of the Marciano brand by Guess?. Can you provide any color on that of the impact?
Paul Marciano - Vice Chairman & Chief Executive Officer: We're not aware. This is Paul Marciano. We're not aware of any such action and (49:23) comment on that.
Richard Magnusen - B. Riley & Co., LLC: Okay, thank you.
Paul Marciano - Vice Chairman & Chief Executive Officer: Thank you.
Operator: Thank you. Our next question is going to come from Erinn Murphy from Piper Jaffray. Please go ahead with your question or comment.
Erinn E. Murphy - Piper Jaffray & Co (Broker): Great. Thanks. Just a couple of follow-ups for me. First, on the guidance. I think you said North America Retail revenues kind of flattish for the full year. Recognizing you're closing about 50 to 60 doors and I guess the current comp environment is still slightly negative, so can you just help us bridge the gap there of how we should anticipate kind of the cadence throughout the year? And then just secondly, and I may have missed this, but for the fall European order book for wholesale, can you just break out what you're seeing in terms of same-store buys versus foreclosures (50:08)? Thanks.
Sandeep Reddy - Chief Financial Officer: Yeah, this is Sandeep, and I'll take the questions. So, on North America Retail, when you look at the total revenues, I mean, one thing we did talk about was store closures of 50 to 60 stores, but most of the store closures are actually coming towards the end of the year. And as a result, from a revenue perspective, the impact is going to be seen more next year than the coming fiscal year. So that's one piece of it. The second piece of it is e-commerce is obviously going to be driving a bit of the revenue and we said that we're expecting to continue to see double-digit growth in e-commerce. And overall, when we talk about comps, we are talking about comps in constant currency ranging from down in the low-singles to up in the low-singles. So that's pretty much bridges the gap for you on the North America Retail revenues. For Europe, on the order book for fall/winter 2015, it's a partial book. We aren't closed yet. We'll only be closed and next time when we come and talk to you in Q1, and we'll have more for you. But what we are seeing is certain trends, some of which we had expected to see, but some of which we didn't really expect to see. Russia, Eastern Europe, we've been talking about and saying that its same-store buys were going to be much softer because of the consumptions pressures in those two economies. But France is the place where we're actually seeing some softness in the same-store buys as well. And that's what's been visible to us. Again, the book isn't closed yet. We'll be closed and talk to you more the next time we actually talk about Q1 and then we can give you more clarity on what the door closures was (51:48).